Operator: Welcome to Wesdome Gold Mines fourth quarter and full year 2016 financial results conference call. For webcast information and order to access the slides that will accompany this call, please visit the company’s website under Events for information or follow the link from the company’s New Release dated February 15th and 22nd. At this time, all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today Thursday February 23, 2017. I will now turn the call over to Heather Laxton, Chief Governance Officer and Corporate Secretary. You may begin.
Heather Laxton: Thank you, operator, and good morning everyone. Welcome to Wesdome Gold Mines 2016 fourth quarter and full year financial results conference call. Before we begin, I would like to remind everyone that today’s call may contain forward-looking statements or information. Forward-looking statements are based on certain material factors and assumptions and are subject to risks and uncertainties that could cause actual results to differ from the expectations and assumptions discussed today. We will refer you to the detailed cautionary note regarding the forward-looking statements contained in this morning’s press release and in the company annual management discussion and analysis dated February 22, 2017. Both documents are available on the company’s website and on SEDAR. Please note that all figures discussed on this call today are in Canadian dollars unless otherwise dated. Please also note that a recording of this call will be available for replay for one week, the details of which will be posted on the company’s website. On the call with us this morning, we have Duncan Middlemiss, President and CEO.
Duncan Middlemiss: Good morning everyone.
Heather Laxton: Hemdat Sawh, Chief Financial Officer.
Hemdat Sawh: Good morning. This is Hemdat Sawh.
Heather Laxton: George Mannard, Vice President, Exploration.
George Mannard: Hello everyone. George is here.
Heather Laxton: And Lindsay Carpenter Dunlop, Vice President, Investor Relations.
Lindsay Carpenter Dunlop: Good morning.
Heather Laxton: And now over to Lindsay to review the agenda for today’s call.
Lindsay Carpenter Dunlop: Thank you, Heather. Today’s call will take approximately 20 minutes followed by five minutes for question-and-answer session. The agenda for today’s call will be as followed. 2016 Q4 full year highlights and operational review followed by 2016 Q4 and full year financial results review, then a reserve and resource update and discussion of exploration program and finally 2017 exploration and production outlook. I will now turn the call over Duncan Middlemiss for the review of operations.
Duncan Middlemiss: Thank you, Lindsay. 2016 was a transitional year for Wesdome. Despite a close start to production in the first quarter, the Eagle River Complex produced 47,737 ounces, which is inline with historical production rates, but slightly lower than 2015’s figure of 50,470 ounces. Operations at the complex steadily improved throughout the year as we accelerate development and definition drilling into higher grade areas of the mine. We’re pleased and improved mining underground equipment and made continued improvements to the mill including modifications to the filtration systems, which have already shown improved mill availability. Head-grade Eagle River for the year is slightly better than those of 2015 of 7.9 grams. However moving forward, we believe the mine plan will demonstrate better grades based upon our increased definition drilling and overall confidence in the reserves. The Mishi head-grade return of the reserve grade of 2.0 grams. All-in sustaining cost increased by 11% over 2015, primarily due to an increase in sustaining capital expenditures such as increased mine and exploration drilling, stope development and equipment enhancements in our efforts to better sequence the mine in a sustainable manner. Production cash cost increased by 7% over 2015 primarily due to increased development metres and stockpiling of low grade Mishi ore. The company also conducted significantly higher exploration drilling in 2016. We spent $10 million and drove a 104,000 metres versus spending $1 million and 21,000 metres of drilling from 2015. I will now turn the call over to Chief Financial Officer, Hemdat Sawh, to review our financial results.
Hemdat Sawh: Thank you, Duncan. Despite lower production in 2016 versus 2015, revenue increased $84 million from $73 million. Cash flow from operations increased to $19.9 million from $10 million and net income also increased to $7.8 million from a loss of $4.7 million in 2015. The 2015 year included $5.2 million of Kiena Complex decommissioning costs which were reported directly on the income statement. The increase in operating cash flows in 2016 is attributable to a $6 million increase in operating profits of Eagle River due to higher average realized gold price of CAD1,676 per ounce in 2016 compared to CAD1,475 in 2015. In addition, $2.5 million in revenue from gold derived from the Kiena Complex mill cleanup and $2.6 million refund of prior years’ exploration credits. 2016’s free cash flow was an outflow of $8.4 million compared to an outflow in 2015 of $5.7 million. This year’s higher outflow is due to the higher exploration spending and underground definition and development drilling described by Duncan earlier. Our spending in exploration in 2016 was roughly $10 million compared to less than $1 million in 2015 and capital expenditures increased by $3 million in 2016 compared to 2015. The exploration expenditures consisted of $5.1 million in previously unplanned exploration in Kiena as a result of the extremely encouraging results obtained from the preliminary drilling. $3.8 million of exploration outside of the Eagle River Complex, of which $3 million was funded by flow-through dollars raised in December 2016 and $800,000 at Moss Lake where we started drilling in November of 2016. We also set aside $4 million of cash to satisfy the requirements of the Kiena Complex revised closure plan. There is a meaning requirement of $1.8 million on the disclosure plan which is due in September 2017. In April 2016, we have raised net proceeds of $16 million in an equity financing and sold some non-core assets in Quebec for proceeds of $7 million. Accordingly our year-end cash position increased by $11.3 million to $26.7 million at December 1, 2016, compared to $15.4 million in 2015, leaving us well positioned to execute on our increased exploration program in 2017. I will now turn the call over to George Mannard to discuss the reserve and resource update and exploration highlights.
George Mannard: Good morning. The reserves at Eagle River increased 15% net of depletion this year versus last year’s 300,000 ounce proven and probable total. This is the fourth consecutive year reserves of increase. Throughout this 20 year production history, this asset clearly responds wells to drilling, highlights we’re the Number 7 Zone up plunge drilling announced earlier in the year, which we have now brought into production and favorable drilling and development in the 300 Zone. In 2016, we conducted a reconnaissance drilling program at Mishi and in 2017 we intent to follow up with resource definition drilling on two identified targets located 600 metres and 1,700 metres west of the existing mining operations. Mishi reserves extend to a depth of 70 metres for the existing pit reserves and the indicated resources extend to a depth of 110 meters. There is a substantial indicated resource to a depth of 110 metres. The 2017 drilling will provide the information to assess future expansion options involving pits deepening, potential new pits along strike and future optimized scale of operations and processing rigs. The Eagle River Mine underground drilling was concentrated on spending two parallel zones, the Number 7 Zone and the 300 Zones up plunge of where they were previously identified. The Number 7 zone was previously unrecognized at shallower depth as it now penetrates 200 meters up plunge and remains open. This enabled us to develop the zone much earlier than anticipated, drifting on the 945 metre level return 12.37 grams per ton over a length of 63 metres at an average width of 3.32 metres. On January 26, we released very strong drilling results from the 300 East Zone with cut rates of 19.03 grams per ton over 20.67 metres true width and 13.36 grams per ton over 17.94 metres true width. These widths are unprecedented at Eagle River and presents potential for very efficient bulk mining and near to mid term production implications. We are currently opening these up on the 844 metre level to confirm geometry grades and continuity. To date at least 3 plunging zones have been recognized between depth of 800 and 1000 metres, which remain open above and below. Finally, at Kiena we have a lot of excitement this year. As a company resumed drilling in June and Kiena deep discovery was announced on August 24, 2016. The geological team followed up on exploration and drilling, previous exploration drilling at depth which was conducted during the period 2010 to 2012. The 2016 programs was predicated on the model that mineralization maybe much more expensive and replicate the characteristics as that full geometry observed in the S50 zone, which supported the bulk of historic production at Kiena from 1981 to 2013. As I referred with 4 drills at Kiena and the new drilling continues to trace the Kiena Deep mineralized system along an altered and deformed north north west trending basalt-komatiite contact zone. To date, it has been traced 550 metres north north west along strike and over a depth range of 400 metres. It remains open at depth and along trend. Drilling continues to deliver grades substantially higher than the historic production at Kiena, indicating a potential large new gold system. Our goal is to establish sufficient confidence as soon as possible to initiate a ramp to improve to provide early access and more efficient drilling stations. I will now turn the call back to Duncan.
Duncan Middlemiss: Thanks, George. During 2017, the company will remain aggressive on the exploration side with continued exploration at the Eagle River Complex in Wawa, Ontario, the Kiena Complex in Val d’Or, Quebec and the Moss Lake Property near Shebandowan, Ontario. At the Eagle River Complex drilling will continue on surface and underground within the Eagle River Mines and along the Mishi Open Pit mineralized trend. At Mishi, we will be conducting scoping studies, determine the optimum production scenario that will enhance profitability and maximize shareholder value. Our drilling budget at Kiena Complex is comparable to 2016 levels. Pending exploration results, the company is evaluating ramp development at this project through 1,100 metre level in order to improve the drilling platform and accelerate future access. In the company’s efforts to accelerate our advanced exploration at Kiena, we are pleased to announce the appointment of Marc-André Pelletier as Vice President of Quebec Operations, who will be based full time at the Kiena Complex. Marc-André has over 20 years’ experience in underground gold mining in Canada, and will be working closely with our geologic team to evaluate ramp development. Finally, Wesdome is conducting a full year drilling program at Moss Lake in order to evaluate our new land position with the goal of doubling the footprint of mineralization. Our goal is to add to the resource potential of this asset and bring it up the value curve. This year we expect higher production over 2016. We have set guidance ranging between 52,000 ounces and 58,000 thousand ounces. We will make some modest investments at the Eagle River Complex to further optimize the Wawa operations at lower cost. Of the estimated $3 million of project capital spend, approximately $1.2 million will be spent on the road at Mishi, which will lower trucking costs, and $1.7 million will be spent on an underground ventilation raise which will allow us to open more working faces and provide additional production flexibility at Eagle River. Further cost saving initiatives, include upgrading underground equipment, which will reduce maintenance costs and downtime, and assist with dilution control.
Lindsay Carpenter Dunlop: Thank you Duncan. This concludes today’s call and we’ll now open the lines up for any questions.
Operator: [Operator Instructions] And our first question comes from the line of George Topping with Industrial Alliance your line is now open.
George Topping: Great, thank you. Hello everyone.
Duncan Middlemiss: Good morning.
George Topping: Hi there. The raise that’s planned at Eagle lam, can you tell me when do you expect that will be in operation.
Duncan Middlemiss: Yes the activation George should be completed in the second quarter of this year. We believe that all the infrastructure, meaning the fans and electrical installations, should be up and running within the third quarter. So we look forward to that, we are certainly constrained a little bit by ventilation at the bottom of the ramp where a lot of our mining phases are currently. However, we see obviously the ventilation rates as being a key piece of infrastructure for us here.
George Topping: Okay. Is your intention there to immediately add another phase or would it be to just improve conditions and productivity on your existing workings?
Duncan Middlemiss: We’re definitely phased in obviously our reality has changed quite a bit here George in terms of the 303 pipe which we’ve released previously in January. I think that the sooner we get to that, I think, the better off we’re going to be. So flexibility is certainly going to be a great, something to enjoy that I don’t think we really enjoyed in many years at the mine. So I think this is certainly something we look forward to.
George Topping: Okay and on the Mishi’s scoping studies, do you have a timeline for that?
Duncan Middlemiss: We are going to continue drilling throughout year. I mean obviously as we see through the reserve statements, the Mishi reserves have dropped down to 102,000 ounces in the proven and probable. Essentially it was 131,000 last year we mined out probably about 8,500 ounces in reserves, we had some other losses we reconfigured [indiscernible]. The mineralized trend is something we’re definitely going to follow-up. And as George mentioned earlier, we got some great targets, 600 metres, 1,700 metres west of the pit. So we believe that this mineralized trend is going to be part of our plan. So we’re going to continue to drill. And I would see this scoping study is going to be, I’d say, drilling results based to a degree. So I would say 2017 is going to be generally the year. So the drilling results would be coming through anytime now, as we have to drill on there now. And so we look forward to probably something in the third quarter George, we should have a better idea.
George Topping: Okay, great. And I’m just lastly and I’ll let other people on this. The initial resource of the new zone which you’re getting at Kiena, do you have in your mind I know it’s drilling dependable job in your mind when you might put a resource around that and release it?
George Mannard: Yes what we’re doing is we’re interpreting it right now on what we’re doing in the internal one that would help us with the decision. And we’re doing it in conjunction with an external person, so we will be able to formalize it in 43101 and accelerate all the disclosure requirements.
George Topping: So would that now be this year George?
George Mannard: We’re working on it right now. Heard me?
Duncan Middlemiss: Yes that will be true. Yes it will be the earlier one, yes.
George Topping: All right great. Thank you.
Duncan Middlemiss: Yes thanks George.
Operator: And our next question comes from the line of Raj Ray with National Bank. Your line is now open.
Raj Ray: Thank you Alberto. Good morning everyone.
Duncan Middlemiss: Good morning Raj.
Raj Ray: Hey good morning. Just a couple of questions here. The first one I was looking at the breakdown of the proven and probable reserves for Eagle River underground and I know that the grade of the proven is 10.2 and whereas you had guided for 8.8 to 9.2 in terms of production. So okay is there a potential for increase in grade over the year, at Eagle River underground?
Duncan Middlemiss: Yes generally Raj the proven reserves the grade is signed to it by development. So what it means is we’ve developed into a higher grade zones and these are the first ones in the mining sequence.
Raj Ray: Okay. So…
Duncan Middlemiss: And the probably as the drill indicated the attachments that are not developed yet for the proven reserves you saw in 20 metres from development headings.
Raj Ray: Okay. And so those will be the one that will be introduction this year, right?
Duncan Middlemiss: Yes.
Raj Ray: Yes, okay. And secondly, George on the Mishi, how much drilling was done in 2016 and was it not enough to kind of have initial estimate of the – at least in inferred category?
George Mannard: No what I wonder that Raj as we covered the whole trend for three-kilometer distance on 200 metre centers. So what it was a broad sweep to see if there together an overall assessment. We got two areas that are really good, including 1.7 kilometers West of the pit, 14.28 grams per tonne over 14 metres. So now we go in and we’re nailing those right now as we speak with the resource definition drilling. This is the quickest and most efficient way to be able to evaluate what your overall potential is as soon as possible. It’s a phased approach.
Raj Ray: Okay. And if I heard you correctly so expecting a better idea around Q3 of this year?
George Mannard: Yes what we’re doing is we put – we’ve got two drills on it right now. And we’re getting that on top as quick as possible. And with the resource definition drilling it’s short holes that go really fast, it’s very productive.
Raj Ray: Okay. Then one last question, for the Kiena ramp development how much CapEx are you estimating?
Hemdat Sawh: We have now raised the ramp field we’re doing do some preliminary design, but essentially you cost it out at about $5,000 a metre because of course it’s all contractor based. So for us to go down at 100 metres vertically we definitely expect it to be 800 metres to 1,000 metres, so anywhere from $4 million to $5 million.
Raj Ray: Okay, thank you. That’s it from me.
Hemdat Sawh: Yes.
George Mannard: Okay Raj.
Operator: And our next question comes from the line of Stuart McDougall with M Partners. Your line is now open.
Stuart McDougall: Good morning guys.
Duncan Middlemiss: Good morning
Hemdat Sawh: Good morning
Stuart McDougall: Just a follow-up on the 300 Zone please. The 303 lens was it incorporated in your year-end resource updated and what is the strike of it right now?
Duncan Middlemiss: A portion of it was. We have two of the three plunging pipes partially delineated at year-end. Its strength is about 40 metres and its width is about 20 metres.
Stuart McDougall: And it remains open?
Duncan Middlemiss: Yes above and below. And the interesting thing is we have development on the 844-metre level. So we can go right into it and open that up.
Stuart McDougall: Okay, my other questions were answered so thank you.
Hemdat Sawh: Okay great. Thanks.
Operator: And our next question comes from the line of John Tumazos with Very Independent Research. Your line is now open.
John Tumazos: Thank you. New gold has had some extra costs at their construction project west of Moss Lake and they seem to have some special care due the abundance of water and reuse of sand and gravel and construction. Do you think their experience as implications to the Moss Lake project and what’s the timetable for integrating the new lad packages in updating those studies?
George Mannard: It has implications in terms of being a large development that scales in the similar area. At Moss Lake we don’t have 200 feet of overburden. But there’s known as a challenger Rainy River the deep overburden. And I find it’s a little bit disparaging that they’ve had problems as that people are obviously drawing inferences of it because of its geographic location. What we’re doing at Moss Lake is we’re doing a drill program to try to see how big this zone could be. And well that’s up [indiscernible] and I don’t see – that the projects are like very different, very different stages. Is that helpful?
John Tumazos: Certainly, thank you.
Hemdat Sawh: Great, thanks John.
Operator: Again ladies and gentlemen thank you for participating in today’s call. I do apologize we do have a question from Craig Stanley with Eight Capital? Your line is now open.
Craig Stanley: Good morning everyone.
Duncan Middlemiss: Good morning Craig.
Craig Stanley: Just on the initial Kiena deep resource, any indication of what type of drill spacing you’ll have? And also will you be doing it via poliquin method?
Duncan Middlemiss:
–:
Craig Stanley: And for the drill spacing what is that roughly you say it will be?
Duncan Middlemiss: The dill spacing? The dill spacing is – it should be 50 metres per closer within main core where the drilling is concentrated and is wider on the periphery. And we’re still drilling. We’ve drilled it to the extent we can at depth from existing setups and it’s still open at depth.
George Mannard: Great. When you sign in the actual definition drilling put this into potential reserves, is that the spacing your are mentioning here?
Craig Stanley: It’s more for when this initial resource comes out. I’m just curious sort of what the rough parameters are. Yeah it’s different when you’re actually come to actually – if you want to actually put it into reserves. But I’m just curious on that initial resource what type of spacing.
Duncan Middlemiss: Yes what we’re doing is we’re doing an internal job first. And we like to – if we have good components and everything we’d liked to get that out as soon as possible. I think really the drilling platform is going to predicate what we’re able to do. I mean obviously the Craig we’re not able to get this down to 25 years centers based on drilling platforms we have. So obviously this is where the ramp is kind of a key component for what we see here. So obviously as the spacing tight is up then we can upgrade our category resource and that’s what we look forward do.
Craig Stanley: Great, thanks guys.
George Mannard: Okay, great.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This does conclude the program you may all disconnect. Everyone have a great day.